Operator: Good morning, everyone, and thank you for participating in today's Conference Call to discuss Wayside Technology Group's Financial Results for the Second Quarter ended June 30, 2021. Joining us today are Wayside's CEO, Mr. Dale Foster; the Company's CFO, Mr. Drew Clark; and the Company's Investor Relations Adviser, Mr. Sean Mansouri with Elevate IR. By now, everyone should have access to the second quarter 2021 earnings press release, which was issued yesterday afternoon at approximately 4:15 p.m. Eastern Time. The release is available on the Investor Relations section of Wayside Technology Group's website at waysidetechnology.com. This call will also be available for webcast replay on the Company's website. Following management remarks, we'll open the call for your questions.  I'd now like to turn the call over to Mr. Mansouri for introductory comments.
Sean Mansouri: Thank you. Before I introduce Dale, I'd like to remind listeners that certain comments made on this conference call and webcast are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to certain known and unknown risks and uncertainties as well as assumptions that could cause actual results to differ materially from those reflected in these forward-looking statements. These forward-looking statements are also subject to other risks and uncertainties that are described from time-to-time in the Company's filings with the SEC. Do not place undue reliance on any forward-looking statements, which are being made only as of the date of this call. Except as required by law, the Company undertakes no obligation to revise or publicly release the results of any revision to any forward-looking statements. Our presentation also includes certain non-GAAP financial measures, including adjusted gross billings and adjusted EBITDA as supplemental measures of performance of our business. All non-GAAP measures have been reconciled to the most directly comparable GAAP measures in accordance with SEC rules. You'll find reconciliation charts and other important information in the earnings press release and Form 8-K we furnished to the SEC yesterday. With that, I'll turn the call over to Wayside's CEO, Dale Foster.
Dale Foster: Thank you, Sean, and good morning, everyone. Our strong second quarter results reflect the continued focus and execution of both organic and inorganic growth initiatives. We generated exceptional growth across all of key operating and financial metrics during the quarter, along with our two acquisitions from the past year that are driving meaningful improvements in the respective geographies and vendor lines. As we've stated before, we have three core initiatives that drive everything we do: Number one, generate organic growth from existing vendors and customers; number two, enhance our line card with addition of new emerging vendors; and number three, execute on our acquisition strategy by utilizing our balance sheet and free cash flow to acquire companies that will be strategic and accretive to our earnings. Within the existing vendor network, we continue to deepen relationships with the sales and marketing focused on higher growth products. Our partners continue to recognize our unique ability to actively sell and market their products to channel customers. Spending on security and data center and cloud product lines remain all-time highs, and we plan to continue capitalizing on this market momentum by serving as an effective sales channel for our partners. The depth of our relationships is further reflected by the activity within our top customers and partners. For instance, in 2020, we generated $102 million of gross sales with our top 20 vendors. Today, we generated more than $156 million of annualized gross sales with our top 20, a 50% increase. This truly speaks to the quality of our service offerings and the value we provide to our customers and partners. Although we are pleased with our performance to drive growth within our existing network of vendors and customers, we know there is always room for improvement, and we will continue to seek opportunities to deepen these relationships. Signing up new vendors is also key to ensuring that we have the most compelling list of technologies to offer on our line card. In Q2, we continue to execute on that front as reflected by several new partnerships announcements in marquee companies like StorONE and D2iQ. To put some numbers behind the improvements we have made, in 2020, we've generated $1 million-plus in net sales with about 30 different customers. Today, we generated over $1 million of sales with more than 42 customers. This is a reflection of both depth and breadth within our customer network and speak to the proactive sales culture we have implemented across our various business units in Wayside. On the acquisition front, we continue to actively seek strategic opportunities across multiple geographies, while working to drive efficiencies through scale and various operating levers, in all divisions of the Company. During the quarter, we rebranded CDF's Sigma software distribution business to Climb Channel Solutions, which brings together two highly respected channel brands servicing the emerging technology market. Sigma and Climb share many vendor relationships, which is made for a seamless integration process with a shared focus on driving growth and efficiencies. As you may have seen, earlier this week, we launched Climb Expedition, our new cloud marketplace designed for MSPs and hybrid VARs to explore and transact with vendors that are moving to a subscription-based model of software delivery. Expedition is a flexible self-service platform that enables our partners to interact more efficiently with clients slate of technology solutions. Expedition not only benefits our customers, but also benefits our emerging vendors by extending their reach into the MSP community. I look forward to providing future updates on Expedition and how we -- and how the new marketplace will help distinguish us from our competition. Speaking of the competition, the continued consolidation in the industry provides us with an even greater opportunity to separate Wayside from the pack. In the past year, several of our top players in tech distribution either merged or have been acquired, including Ingram Micro's $7 billion acquisition by Platinum Equity as well as Synnex merger with Tech Data, which will create a combined company that will generate $57 billion in pro forma annual sales. Companies like these don't offer the boots on the ground, high-tech support that we offer through our distribution and solutions. Emerging technology companies need more than simply supply chain logistics, which is the focus of most large distribution companies. For this reason, Wayside is well positioned to win and differentiate itself in this segment of the market. Before I turn the call over, I want to discuss a few key new additions to the Wayside team. First, we are thrilled to deepen our bench on the Board with the addition of Gerri Gold as a Director. Gerri brings nearly three decades of executive experience to the Board and is currently the Senior Vice President and COO of HPE Financial Services, the IT asset management and financing division of Hewlett Packard, where she oversees $13 billion in assets across more than 50 countries worldwide. We also retained a new Investor Relations firm Elevate IR to help improve our communications and awareness within the investment community. Given our improved financial profile and the strong momentum in our business, we felt the time was right to bolster our IR efforts, and we look forward to working with Elevate to engage a broader audience going forward. And finally, in June, we appointed Drew Clark as our new CFO. Drew brings an outstanding track record of driving results for both public and private companies. He most recently served as the COO of Medisolv and has served on multiple public company Boards, including SafeNet and Howard Bancorp. Most importantly, Drew shares our vision of creating a differentiated platform of distribution and solutions for emerging technology brand. And he has a keen understanding of the critical work and infrastructure required to take Wayside to the next level. So without further ado, I'd like to introduce everyone to Drew Clark as he takes you through our financial results. Drew?
Drew Clark: Dale, thank you for the warm introduction, and I'm absolutely thrilled to be joining the team at such a pivotal time in the Company's history. So let's jump right into our results. I'd like to note that all comparisons and variance commentary referred to the year ago quarter unless otherwise specified. Net sales in the second quarter of 2021 increased 33% to $75.4 million compared to $56.6 million in the prior period. This reflects both the strong organic growth and the benefit from the acquisition of CDF as well as one month of incremental contribution from Interwork, which was acquired in May 2020. Excluding these acquisitions, we increased net sales by $9.8 million or 17% year-over-year, with CDF and Interwork contributing an estimated 6.9 and $2 million, respectively. Adjusted gross billings, a non-GAAP measure, increased 48% to $235.1 million compared to $158.7 million in the prior quarter. Again, we experienced strong organic growth of 28% or $45.2 million, with an estimated contribution of $20.9 million from CDF and $10.3 million from Interwork, which reinforces Dale's earlier comments regarding our continued execution of both organic and inorganic growth strategies. Gross profit in the second quarter of 2021 increased to a record 54% or $11 million compared to $7.1 million in the prior period. Again, the increase was driven by organic growth and the benefit of the CDF and Interwork acquisitions. SG&A expenses in the second quarter were $8.5 million compared to $6.4 million, with the increase primarily related to incremental cost from the operations of CDF and Interwork, as well as costs related to investments in our business that we expect will drive continued growth in the quarters and years ahead. These expenses include $2 million from CDF operations and $300,000 related to increased amortization expense, primarily attributable to our acquisition of CDF in November of 2020. $200,000 employee separation expenses were also part of this increase and core selling expenses associated with the organic growth delivered to the gross profit increases, all of which were offset by last year's non-recurring approximately $500,000 of various expenses, with the defense of the unsolicited bid and $200,000 of acquisition-related costs. As a percentage of net sales, SG&A was 11.3% compared to 11.2%. Net income in the second quarter of 2021 increased approximately 4x to $2.1 million or $0.49 per diluted share compared to $600,000 or $0.13 per diluted share. Adjusted EBITDA in the second quarter increased 68% to $3.5 million compared to $2.1 million. The increase was driven by the aforementioned organic growth and acquisition benefits as well as a strong operating leverage. Effective margin, defined as adjusted EBITDA as a percentage of gross profit increased 270 basis points to 32% in the second quarter of 2021 compared to 29.3% in the prior quarter. Cash and cash equivalents were $23.8 million as of June 30, 2021, compared to $29.3 million as of December 31, 2020. The expected decrease was primarily driven by timing of cash flows, and it's not an indication of any business or operating trend. The Company remains debt-free with no borrowings outstanding under either our USD20 million or GBP8 million U.K. credit facilities, both with Citibank. On August 3rd, our Board of Directors declared a quarterly dividend of $0.17 per share of common stock, payable on August 20th to shareholders of record on August 16, 2021. Looking towards the balance of 2021, our strong liquidity position and our operating cash flow continues to provide us with the flexibility to execute on both our organic and acquisition growth strategies. Despite the strong results of our second quarter, we, as a company, still have work to do to achieve our desired levels of growth and profitability. As we look at the balance of 2021, we see ample growth opportunities to capture and look forward to achieving both our short term and long-term goals, while continuing to build meaningful long term relationships with our customers and vendor network. This concludes our prepared remarks, so we'll now open it up for questions.
Operator: [Operator Instructions] And we have a question from Ed Woo.
Ed Woo: Congratulations on the quarter. My question is, what are you hearing from your enterprise customers? Do they feel that the business environment is positive? It's -- or are they concerned about possibly upticks on COVID again or people in terms of running out of steam in terms of working from home and stuff?
Dale Foster: Thanks, Ed. And I think it's the -- and I think we talked about it a little bit into Q2, when we're going into it, it's just the optimism that you feel in the marketplace from our customers, both enterprise and the wide group of resellers that we support. We definitely see it from our vendors. I think, we talked about it before that we were heading back to the office. Our teams are back in on July 6th, so that's all positive. But yes, I think there's optimism out there. We definitely see the pipeline is filling up, which I think have been dragging in the past, but we're seeing it in the actual results side of things. So that's a good thing.
Ed Woo: Great. And my next question is in terms of M&A opportunities. Are there a lot of opportunities out there and what are you seeing in terms of valuations? And in terms of capacity for M&A, do you guys feel that you guys are ready to take on another acquisition at this time?
Dale Foster: Yes. Let me start with the balance sheet part first. I mean, we're definitely in a position financially to do that depending on what the target looks like. We definitely can go higher upstream, as you can see, that we could put some leverage on the business. But as far as targets go, it's been consolidated in the U.S., you and I have talked about that in the past. There are not very many targets there. Western Europe is our focus and I can tell you that we have quite a few on the list. We've engaged with a select group of that and it's always going to be part of our strategy in the near future to kind of do what we did with Interwork and CDF. I mean it's -- they was good fits for us. We'll take our time to make sure that we make the right moves that it makes the right strategic -- it's a right strategic acquisition for the Company of where we're going to go and it's not going to be way outside of our lanes. It's going to be in the distribution, MSP, services type solutions. So you'll see that, in the upcoming quarters, we can talk about it.
Operator: [Operator Instructions] Out next question comes from [Howard Ro].
Unidentified Analyst: Congratulations, Dale and Drew, on a great quarter. It's just wonderful results to see. My question, I have two questions. One is this -- the cloud, Dale, when you started in 2018, you really -- that was one of the glaring holes. You had no cloud distribution, and you started working on it. I know, you had a project and then you acquired CDF, which had the cloud platform. And I think that's what you views but if you could talk about -- is that project done? Are you satisfied with it or is there more work to do? And what does that meant to your revenue growth?
Dale Foster: Yes. The project will never be done when it comes to the cloud piece of it because you'll see all the different providers, whether it's a hybrid cloud or how they actually want to transact. But you're correct. I mean, we talked about it for a long time. We finally launched it with Climb Expedition. It is -- the underlying coding is the same one that the CDF used, and we actually were going in that direction even before we acquired them. So it was just a little more acceleration on our side. But if you look at it, we don't track it separately now, because it's so new as far as the dollars go but here's the issue and that is vendors are moving in that direction, and they're not moving as fast as Microsoft and where Microsoft is as far as doing subscriptions on a monthly basis. They're going to get there, might take them 18 months to get there. So as they move in that direction, you'll see our licenses and our sales go from perpetual to subscription based. So it will really kind of be a shift of our revenues, but we plan on capturing outside of that just new additional territories that we can go into that we couldn't go into before when there's many companies that are just born in the cloud. So opens us up for just more vendors to look at that are just cloud vendors that we can transact with. So it's really -- we're really new to it that way and so it was the rest of the market to be able to transact that way. So you'll see us talk about that a lot, Q3, Q4. And then -- and probably next year will do -- the one we start actually looking and talking about the numbers on it.
Unidentified Analyst: Great. So it kind of segues into my second question, which is really looking at future growth. And I think I finally -- after following for a couple of years here, finally figured out, I mean, I'm really paying attention to adjusted gross billings, which really is all of your product movement, whether it's net sales or not. And if I look at that up 48% year-over-year and up 12% sequentially, and you're closing in on $1 billion in adjusted gross billings. And then I kind of take a look from that, I look at what gross profit you do from that, and I'm looking at around 5% of that adjusted gross billings is dropping to your gross profit line. I'm just -- if you could talk a little bit about looking forward, is that -- I mean, that kind of growth rate isn't sustainable in very many places when you're already at that size. And what do you see as the potential? I don't want you to pin into 48% year-over-year growth for the next five years. But what are you seeing, are you at the beginning, middle, later stages of that kind of growth? And what's the potential market for your -- for the overall business?
Dale Foster: Yes. I guess if I look at the macro level, and I talked about it in the release as far as -- look at our next -- the smallest of the large competitors, you have ScanSource in the billions of dollars range and Aero was $30 billion. So that consolidation has already happened. There's a lot of headroom for us that we can go -- and we tell investors, we can double in size and not be effective to the market really. It's -- I mean, we'll make it disruptive. And like we are now, we're being very disruptive to some of our competitors in certain aspects of their divisions, right, whether it's Ingram or Aero or Synnex, Tech data combination. But the -- so I'm not saying we can grow at that rate, but there are so many targets. When I say targets, there are so many vendors. So we are approaching 500 vendors that we've looked at in the last three years, and we've only signed 50. So we'll look at -- I mean, that's over 100 a year. We're nonstop. We have a full recruit team. And it's really about those vendors coming in. If we look at our top 20 vendors, we didn't have a relation with them 18 months ago. So there's that many coming out of the wood work that needs their products sold. The issue is there -- it's not even hitting singles, it's getting to that single hitting where you're saying, okay, can we move the deal with $10 million to $20 million as that company get to $50 million? We have some of our portfolio that have already done that. And that's just -- it's kind of simple business. That's what we're going to do. We'll just focus on bringing in vendors, growing up with them, keeping them as long as possible and servicing them the best way possible. And then jettison the -- ones that are either the margins going out of the product, and you can say, wow, the margins are low already, but that's the business we're in. And the only thing to bolster those margins is more service piece at which the industry talks about all the time. And you can see in some of our results that we are doing some of that with the CDF group, and we'll bring some of that to the U.S.
Unidentified Analyst: Great. And then the gross profit side of that, do you see that as -- talk about how you view gross profit as a percentage of adjusted gross billings? Is it a percentage number or dollar number?
Dale Foster: You're right, Howard, as far as -- you should look at the adjusted gross billings because that's the money we're collecting every day. The nets that's a part of the GAAP piece, given how we actually have to count it for, the GAAPing and the accounting side. But you look at our gross profit growth, you need to track us by, gross billings, gross profit. Yes, it's 5%. Our major competitors, they're doing stuff in the sub-4 range. We have to do that once in a while as far as when it gets competition, but that's our goal. And we'd love to add some stuff accretive to the business that will get us over that five and keep it going in that direction. But judge us by the gross profit piece of it, and then how much do we spend out of the gross profit and how much can actually drop to the bottom line. Are we at an inflection point to scale? No. Do we feel like we're close to that? Yes, that we can really put and show the leverage that the business has, where -- and it's really about our vendors. They launch, they take off, one goes public, next thing you know, we're riding that train, and you'll see that inflection point when you see more drop through.
Operator: And our next question comes from Walter Ramsley.
Walter Ramsley: Congratulations. Super quarter. Question about the tax rate that was down a little in the quarter. Can you give us an idea of what it should look like for the second half and maybe just for the full year?
Drew Clark: Yes, Walter, the effective tax rate is slightly lower than the historical trends, predominantly due to our CDF acquisition and some of the European tax rates when you factor in the various component parts thereof, has actually lowered our overall effective tax rate. So we look to probably be at that 22.1%, 22.2% for the balance of the year and year end overall.
Walter Ramsley: Okay. That sounds good. And the SolarWinds company, I mean, they've had their problems. Has that spilled over into your business? Or could you like just talk about that a little?
Dale Foster: Yes. Thanks, Walter. We talked a little bit on Q1 because it was really affecting us. We've doubled down with SolarWinds. They've been a great partner of ours. We've actually spent time with their team in Austin as everybody's getting back to the office. So some recovery in Q2, we continue to see that going on. They split off with one of their MSP divisions called N-able, and we've signed the contract with them, so we'll actually have a twofold approach from the legacy SolarWinds and going forward. But yes, they're a good company. They're actually going to do some retooling of how they go to market with their tools and monitoring. So I think, we'll see some exciting stuff out of that come into Q4. Just like Sophos has been a good -- we've had soft quarters with them, and it's been strong quarters. Sophos announced their firewall -- new firewalls, and that's been just a bolster or boosting to their sales for this quarter as well.
Operator: We have no further questions at this time. I will turn it over to Dale Foster for final remarks.
Dale Foster: Thanks, operator, and thanks to all the shareholders. Appreciate your support. Thanks for the question there that you put in. We'll definitely reach out to the investor community and just keep updating on what we're doing. And if you have any requests for me hook up with Sean. Thanks to the Board of Directors. Our Boards just got a different look to it, great meetings this week with our Board. And thanks to the employees, everybody's back and charging strong, so appreciate it. And thank you, everybody, again. Appreciate it.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.